Operator: Welcome to today's earnings conference call being hosted by Repay. With us today are John Morris, Co-Founder and Chief Executive Officer; and Tim Murphy, Chief Financial Officer. During this call, we will be making forward-looking statements about our beliefs and estimates regarding future events and results. These forward-looking statements are subject to risks and uncertainties, including those set forth in the SEC filings related to today's results, as well as in our most recent Form 10-K filed with the SEC. Actual results may differ materially from any forward-looking statements that we make today. Forward-looking statements speak only as of today, and we do not assume any obligation or intend to update them, except as required by law.  In an effort to provide additional information to investors, today's discussion will also include references to certain non-GAAP financial measures. Reconciliations and other explanations of those non-GAAP financial measures can be found in today's press release and in earnings supplement, each of which are available on the company's IR site. I would now like to turn the call over to Mr. Morris. Please go ahead, sir. You may begin your presentation at this time.
John Morris: Thank you, operator, and good afternoon, everyone. As you can see from our results, we delivered strong performance in the third quarter across all our key metrics. This demonstrates the resilience of our diversified business model. We saw card payment volume growth of 15%, revenue growth of 17% and gross profit growth of 20%. Organic gross profit growth in the quarter was 15%. While much of the organic growth contribution was from our B2B business this quarter, we are excited about opportunities in both our B2B and consumer payment verticals. As a reminder, consumer represents approximately 70% of our total business. B2B is approximately 20%, and the remainder is primarily RCS.  Consumer and B2B together represent over $5 trillion of annual payment volume, of which we currently process less than 1% on card, which provides support for our tremendous long-term growth opportunities. Both verticals have specific transaction processing needs and have lagged behind other industry verticals and moving to digital payments. This leads to lower penetration rates for electronic payments, specifically, card payments and a general lack of competition, which provides us with the opportunity to embed our payment technology directly into the client and to the client software platform, thereby increasing stickiness and expanding margins.  We believe that our vast distribution network of 236 ISV partners and deep presence in these vertical end markets creates durable growth, strong economics and significant defensibility. Within these ISV relationships, we have launched our integrated partners program to add product features and functionalities through the existing integrations in order to further penetrate these relationships. This represents a significant growth driver for 2023 and beyond.  I'll start with a view of our B2B payments business during the quarter. As you all are aware, B2B payments have traditionally been made by check or ACH, including AP and AR. So there is a very large and under-penetrated market to attack in this vertical. We often get asked, what is your competitive advantage versus other B2B players? There are many players focused in the B2B market, which is mostly driven by the massive opportunity.  First, I would highlight our complete offering, which includes our TotalPay solution where we can execute supplier payments on behalf of our clients via all payment methods including check, ACH, enhanced ACH and virtual cards; AP automation, where we allow our clients to outsource their entire AP function, including our proprietary approach to supplier enablement; and lastly, merchant acquiring, where we allow our clients to accept electronic payments from other businesses in a highly integrated manner for their ERP accounting solutions such as Sage or Acumatica.  Please recall that we believe we are one of the only B2B payment providers to offer 2-sided integrations via Sage and Acumatica, which allows for both AR and AP payment automation and execution directly within the ERP environment. Second, I would highlight our vertical expertise. In AR, our largest areas of focus, including manufacturing, wholesale and distribution. In AP, our largest areas of focus include auto dealers, health care, hospitals, media, hospitality, property management, field services and government. In addition, we are primarily focused on medium to enterprise-size customers, which tend to be more resilient in any market condition versus SMBs.  Third, I would highlight our go-to-market strategy and supplier network. As of the end of September, we had 85 B2B integrations and have expanded with many providers such as Sage, which we announced during the quarter. We have also a dedicated in-house sales team working to sell our solutions. As of the end of September, our supplier network has grown to 147,000 vendors, a 40% increase year-over-year. Having a large supplier network is especially important when we talk to new customers and sub-verticals. Having that supplier network that we can already address with them is very helpful. Additionally, in terms of our talent, we have a great B2B team today, but we will continue to build out the sales and partnership functions. We plan to make key focused investments specifically on the AP side due to the massive TAM and low penetration of electronic payments. Turning now to a few Q3 updates within our B2B vertical. As mentioned on our Q2 call, we expected the political media volume to ramp into the second half. Thus far, political ad spend is generally in line with what we expected.  As for recent wins, we announced an AR agreement with Jones Healthcare Group, a market leader in advanced packaging and medication dispensing solutions. We were able to create a one-stop shop payment ecosystem, enabling Jones' pharmacy customers to self-service and pay invoices online. We also recently announced an exclusive referral partnership with SpendMend, a leading provider of solutions to optimize the cost cycle for the health care industry. Repay will be the exclusive accounts payable solutions for SpendMend's clients across the health care sector.  On the consumer payments side of our business, we saw strength across our various sub-verticals. As a reminder, the TAM for just this part of our business is approximately $2 trillion of annual payment volume, and credit cards are not typically accepted for loan repayments, which has resulted in an overall low card penetration. Our debit card acceptance offering provides many benefits to the lender, including: accelerated payment cycle, which is the ability to lend more and faster through card processing; 24/7 payment acceptance through always open omnichannel offering; omnichannel payment methods, web, mobile, IVR and text; fewer ancillary charges, such as NSF or borrowers through automatic recurring online debit card payments; direct software integrations to embed payments into loan dealer and other workflow management systems, which reduces operational complexity for our clients.  As of 9/30, we had approximately 150 ISV relationships for just the consumer payment side of our business. Also, our solutions offer improved regulatory compliance through fewer ACH returns. Our Instant Funding product, which we process through Visa Direct and MasterCard Send continues to show strength. In the third quarter, volume was approximately 50% ahead of our Q3 2021. We believe this is another way to influence our more digital card-based repayment transactions as the repayment method on file is a debit card.  Recall that we are a payments leader in the personal loans, auto loans, credit unions, mortgage servicing payment verticals. We now have approximately 5,500 clients across these end markets, including close to 230 credit unions. In these markets, lenders are looking for ways to engage with the borrower. They do this by the deployment of our omnichannel payment solutions, which are fully embedded into the lenders' financial software. In fact, we recently extended our existing relationship with Fairstone Bank, one of Canada's largest lenders. This new agreement is big, will focus on supporting various forms of lending through Buy Now Pay Later and embedded financing solutions and further expands the Repay services offered within the Canadian lending market.  Regarding the macro conditions in the personal loans vertical, many of the same trends exist that we discussed previously, including continued strong demand for credit. For the auto lending vertical, we believe our offering is more important now than ever before as lenders look to make auto loan collections as easy as possible for their customers. We also continue to be encouraged by our efforts in the mortgage servicing sector. Mortgage servicers are looking for more flexible and convenient ways to pay, but they still have to follow strict processing and notification and servicing requirements. Our payment platform makes it easy to keep borrowers happy and servicers in compliance.  In every area of business, we are focused on finding the right talent in place to further accelerate penetration, and we found that in our recent hire for mortgage vertical, Erik Skinner. Erik joins us from Black Knight, where he was responsible for MSP and back-office customer experience modernization. He has vast experience in working in the mortgage servicing industries throughout different times in the market and brings a unique product perspective to Repay.  Mortgage has become one of our fastest-growing areas within Repay, growing north of 30% in Q3 '22 versus the same period last year. Please recall, we are less sensitive to the macro in mortgage since most of our growth is derived from existing clients. We're also now actively selling our AP solutions into clients across the consumer verticals, such as lenders and health care providers. We had experienced some recent wins.  Lastly, on the consumer side, we expect to see a pickup in our accounts receivable management or ARM and revenue cycle management businesses as consumers take on more financial obligations, such as credit card balances, medical bills and cell phone bills. According to the Federal Reserve Bank of New York, credit card balances in Q2 saw their largest year-over-year percentage increase in more than 20 years. Placements will be picking up here in the short term, and based on the challenges with inflation, consumers are going to have to select payment plans as a way to pay off these outstanding past due financial obligations, which benefits Repay as we gain volume from the consumer making more payments.  Repay Clearing & Settlement or RCS, continues to perform nicely with significant pipeline for future growth. We continue to win business from the larger, incumbent acquirers and truly believe that our more modern acquiring platform will allow us to keep taking share in future periods.  Before I turn the call over to Tim, I wanted to provide a few thoughts about next year and beyond. As I hope you take away from my comments, we continue to be energized by our unique offering, technology platform and our exceptional team. In addition, we remain very encouraged by the secular tailwinds in our business, including the ongoing trends away from cash and check towards digital payments. We are laser-focused on growing organically with growth from both existing customers and new customers of all sizes.  Our specialization in key verticals will continue to aid our growth for years to come. Our sales teams have deep experience in these verticals and a strong understanding of client needs. We have hundreds of ISV relationships to expand our reach and provide an ease of implementation, aided by our superior software and payment solutions that are specifically designed with these verticals and clients in mind.  While we are targeting investments in these high conviction growth areas to seize more market share, we have always and will continue to remain focused on sustainable, durable growth with strong unit economics. One of our main priorities is to have the right cost structure in place so that we can support growth while maintaining healthy margins.  Now for 2023 specifically. Sitting here today, we continue to feel confident in solid organic growth, even in an economic downturn for the following reasons. Number one, our core consumer payments business, particularly the lending verticals are resilient, should grow even during a downturn. As a reminder, consumer also includes our ARM business, which is expected to see a pickup as consumers experience positive financial obligations such as credit card balances, medical bills and cell phone bills. Number two, Payix will be included in the consumer payments organic growth beginning in Q1 of next year. And its growth rate is expected to be well above the overall corporate average.  Number three, we have a strong sales pipeline in consumer and B2B payments as a result of our increased investments in go-to-market and product innovation. This has driven many new wins in 2022, which should be fully rolled out in 2023. Number four, as I mentioned previously, our B2B services are focused on medium to enterprise businesses. We believe that, that customer base will be resilient in any environment. This is a much faster growing part of our business, which we expect to have solid growth next year despite having the media volume impact of 2022.  Finally, while we continue to be open to M&A, our capital allocation priorities are currently focused on creating value for our shareholders by investing in initiatives that support our growth strategies as well as buying back shares. We believe our current valuation of our shares does not align with the value of our company. The program we have placed in place is a responsible way to deploy capital consistent with our disciplined approach.  With that, I'll now turn the call over to Tim to review our third quarter results in more detail. Tim?
Tim Murphy: Thank you, John. Now let's move on to our Q3 financial results before a review of financial guidance for 2022. As John mentioned, in the third quarter, Repay delivered solid results across all of our key metrics. Card payment volume was $6.4 billion, an increase of 15% over the prior year third quarter. Revenue was $71.6 million, an increase of 17% over the prior year third quarter. This represents a take rate of approximately 112 basis points. Payix contributed approximately $3.1 million of incremental revenue during the quarter.  Moving on to expenses. Cost of services were $16.6 million compared to $15.3 million in the third quarter of 2021. Incremental cost of services from Payix were $0.9 million for Q3. Gross profit was $54.9 million, an increase of 20% over the prior year third quarter. As John mentioned, on an organic basis, we saw gross profit growth of 15% compared to the third quarter of 2021. SG&A was $36 million compared to $33.7 million in the third quarter of 2021. Third quarter adjusted net income was $22.8 million or $0.24 per share. Lastly, third quarter adjusted EBITDA was $31.7 million, an increase of 30% over the prior year third quarter. Third quarter adjusted EBITDA as a percentage of revenue was 44%. We are continuing to prudently manage hiring and other nonpersonnel expenses due to the current macro environment. Combined pro forma net leverage is approximately 3.4x, down slightly from 3.5x at the end of Q2. We continue to expect this to be closer to 3x by the end of 2022.  As a reminder, of the $460 million of total gross debt, $440 million of this is convertible with a 0% coupon and 40% conversion premium. This convertible debt does not mature until February 2026. As of September 30, we had approximately $64 million of cash on the balance sheet and access to $165 million of undrawn revolver capacity for a total liquidity amount of $229 million. We feel very good about our balance sheet heading into a potential downturn. As of September 30, we had approximately 100 million shares outstanding on a fully diluted basis.  Moving on to our thoughts for the remainder of the year. Based on the results from the first 9 months of the year as well as current trends, we're reiterating our guidance for 2022, which includes volume to be between $25 billion and $26.3 billion, revenue to be between $268 million and $286 million, gross profit to be between $204 million and $216 million and adjusted EBITDA to between $118 million and $126 million.  In terms of cost management, as we have done in the past, we continue to work with our vendors to find opportunities to reduce processing costs as we add volume. In the event of an economic downturn, we will remain nimble, with the ability to further pull back on hiring and reduce other operating expenses such as travel. We feel very good about our third quarter results. This sets us up well for strong performance throughout the remainder of 2022 and into 2023 with the expectation for continued growth in any macro scenario. I'll now turn the call back over to the operator to take your questions. Operator?
Operator: [Operator Instructions]. Our first question comes from the line of Andrew Schmidt with Citi.
Andrew Schmidt: Great to see the consistency here, good quarter. I want to start off with the -- just some thoughts on 2023. I know both of you guys alluded to growth in any sort of any economic scenario that we might see. But I know last quarter, we were talking about kind of a mid-teens growth rate in 2023. And obviously, the economic picture has changed a little bit.  But is there a framework you can give us maybe just some guardrails around different scenarios around what growth will look like in different economic scenarios for 2023? Any color on that would be helpful.
Tim Murphy: Yes. Thanks, Andrew. I mean I think based on what we know today, we still feel good about growth next year for all the reasons that John laid out in his remarks. And there's a lot of specific call-outs there that support growth, really, in any macro scenario. And we're currently seeing what could be considered a mild recession. Maybe we're not entering it yet, but could be entering it into early next year, and that would support growth in the range that you mentioned. And even if we were more severe, we still think we grow nicely.  So like John said, there's some really specific items that support that context and that framework, and we don't see really a situation where we start to grow significantly backward.
Andrew Schmidt: Super helpful. I appreciate all the context on the call. I guess just drilling down into consumer lending, primarily personal loan and auto. Maybe talk about what you're seeing there on just the origination side. And then also, I think a big opportunity here is new wins as you've alluded to in the past. So maybe you can talk about kind of existing customers versus net new from a pipeline perspective, how those both are shaking out.
John Morris: Yes. Andrew, it's John. Thank you for your time today. Yes. So if we look at the overall, what we're seeing is specifically on the consumer side, the lenders are finding more and more opportunities to digitally engage with the consumer and the borrower. They're finding more and more of an opportunity for to use many of our omnichannel, omni payment modality solutions. Our dialogue has been healthy around those topics. Our pipelines are strong, as you had mentioned. So those things are a part of that as we look out into '23 that give us additional confidence on some of the things we see.  But as I look at that and I look at those healthy conversations, another example of that as you talked about, some wins. We did have a very large customer win in the quarter. And from that perspective, that is exciting for us because not only that, that particular customer actually is going to use most all of our channels, omnichannels as well as almost all of our payment modalities. So that's -- for us, that continues to speak to engaging with our prospects as well as engaging with our existing clients to just drive out the opportunities to transform payments in a more digital experience on behalf of consumers, who expect more of that in today's economy.
Operator: Our next question comes from the line of Andrew Jeffrey with Truist.
Gus Gala: It's Gus stepping on for Andrew. Just wanted to dig into a little bit more on the -- that strong performance in instant funding. Could you talk a little bit about -- does that provide like visibility into next few quarters? And yes, just any trajectory changes or thoughts on the financial of that business.
John Morris: Yes, sure. So this is John. We talked about earlier that there's a 50% growth year-over-year, quarter-over-quarter from that perspective year-over-year quarter. And that's a good sign as you're asking here on the question. That's a good sign from what we see as a -- typically, as we're seeing someone fund a loan that way then that most likely it becomes part of their digital wallet so they want to -- potentially want to be repaid that way. So that's -- it's an initial sign of the overall shift to more digital payments, specifically more real-time digital payments using our debit solutions.  And then it's also -- that's a demand driver for the lending side. And so those are actually funding loans. And we're continuing to see really good evidence of that. As I was saying earlier, someone using -- not only are using our funding mechanism, but using most of our repayment and modalities for repayment.
Tim Murphy: And also maybe to your point on visibility, it is somewhat of an indicator for us on origination activity. The more funding that happens, it's likely happening because there's just a pickup in originations. And so that is a good sign for future repayment opportunities.
Gus Gala: Got it. That's super helpful. And then as the market kind of -- as the enterprise value slips here below $1 billion, what are thoughts on perhaps maybe combining with another company? It looks like you bought some interesting assets, but the market seemingly implies you're struggling to integrate. Yes, just discuss that a little bit more.
John Morris: Yes. So as I said earlier, we believe the current valuation of our shares does not align with the value of our company. And we believe that as we continue to execute on our game plan, which we've done this quarter, and we will continue to do, we think that the value -- the market will find that true value.
Tim Murphy: Yes. And then on the integration point, I mean we've done, I think, a really good job of integrating a lot of these assets. We mentioned last quarter that we converted BillingTree back into our back-end platform, which is called RCS. You're seeing, in our gross profit margins this quarter, some of the reduced processing costs and the synergies from that transaction and that conversion. That's just a great example of executing on what we talked about in terms of realizing cost savings as a result of acquiring and integrating BillingTree.  And you see that flow through our numbers this quarter as gross margins are higher. So I think we've done a nice job there. We've not done an acquisition really this year since Payix. So we've had, I think, a year where we could focus more internally and we've made a lot of improvements in terms of integrating those businesses, but also in terms of product enhancements and building out our sales force. So we feel good about all the deals we've done and the integration as they've come together.
Operator: Our next question comes from the line of Peter Heckmann with D.A. Davidson.
Peter Heckmann: I wanted to ask a little bit on mix. And so to the extent that we -- U.S. does go into a mild-to-moderate recession and let's say that does wind up affecting payment volume in the lending businesses and maybe you've seen an uptick in receivables management, but what are the implications there of the mix shift on margins? If the lending businesses fell to, let's say, 40% of total revenue, can you give us an idea of like how much that might impact margins?
John Morris: Well, to your point, the ARM business, we think, is pretty countercyclical and likely do better, and that actually has higher take rates and margins. So that would be -- help keep margins pretty consistent if other parts of the lending verticals were down. And then B2B that would -- as we talked about, we're more focused on the medium to enterprise-size customers there, which we think are more resilient than SMBs in that type of macro environment.  And the margins there are only slightly lower than the overall average, but the growth rate is higher. So that might bring margins out a little bit if the mix shifted more to B2B, but I wouldn't say it would be material, but it would also support growth. So that's a good offset there as well.
Peter Heckmann: Okay. That's helpful. And then you have -- in the form of the converts, you have a nice, long-term, very low-cost source of capital. But to the extent the opportunity presents itself, you currently have the authorization to buy back those bonds in the open market and reduce your total leverage?
Tim Murphy: No, the authorization we currently have is on our common stock. And so we've not really -- I mean we've somewhat considered what that would look like on the convert. But I think given the 0% coupon, given the maturity date is not until February 2026, we would focus on our existing authorization and that's something maybe down the line closer to the maturity we would potentially consider but not currently.
Operator: [Operator Instructions]. Our next question comes from the line of James Faucette with Morgan Stanley.
James Faucette: Sure. Good results here, guys. Just in that context, wondering if you can help us a little bit with the underlying market backdrop. Last quarter, you highlighted that you're seeing some difficulties just on the back of credit tightening. But this quarter, you obviously were able to work through that. Can you talk a little bit more about the changes you're seeing in the underlying credit market since last quarter, and any change to how you expect that to flow through to your business? And I guess as part of that, can you give us some update on where you think you stand around sensitivities within the business in terms of credit risk, et cetera?
Tim Murphy: Yes. I mean we -- like we said, the trends are pretty similar to last quarter in the lending verticals. I don't think it's materially different. I think personal lenders are still focused on managing delinquencies, which means that they've tightened underwriting a little bit but not much different than last quarter. And then auto, the market there is pretty similar as well from a macro perspective.  We do see continued strength in B2B that was helping to support the growth this quarter as well. We had some large customers that outperformed our expectations this quarter that are actually higher margin customers, and that led to the increased take rate, increased margins in addition to the BillingTree cost savings. So I don't think the macro backdrop is that materially different than we talked about previously. We've just been able to continue to execute and you're seeing that in our results.
John Morris: And then James, the other thing that we continue to see -- remember, we're not a lender. We're just merely process -- payment processor on behalf of them with financial technology that helps do all those things. But so we don't have credit risk exposure from that perspective, which I think is -- again, we -- and the payments we're processing are these, obviously, automatic recurring type payments that are tied to some financial obligations.  So we still see stickiness around that. And then we still hear from our clients on the consumer side, the demand for credit is definitely still high. And in many forms, that's a good thing in the depth of the pandemic, the demand dropped off.
Operator: Our next question comes from the line of Tim Chiodo with Credit Suisse.
Timothy Chiodo: I wanted to touch on organic gross profit growth. I believe you said that for the quarter, it was about 15% organic. I was wondering if you could help us a little bit with what the exit rate was. Was it higher or lower, about the same? And what's implied for the Q4 guide in terms of organic gross profit growth? And then within that Q4 implied guide, maybe what's the underlying implied organic gross profit growth absent some of the benefits from the political media spend?
Tim Murphy: Yes, sure. So we had 15% organic gross profit growth during Q3, like you mentioned. We exited the quarter a little bit higher than that. So we would expect total organic gross profit growth for Q4 to be mid- to high teens. And excluding the political media spend, we would expect that to be somewhere in the low double digits. So we still expect continued strong organic growth next quarter and a solid exit rate going into next year.
Timothy Chiodo: Tim, that's really helpful. And then a minor, minor follow-up is you mentioned some nice strength in mortgage. I want to say you set up about 30% or so. And clearly, the mortgage industry itself is not having that type of growth. So it's clearly indicative of strong share gain. Maybe just put a finer point on that and some of the strength that you're seeing and share gain that you're having in this industry.
John Morris: Yes. So I'd like to remind everyone as well, we are on the servicing side. So these were a lot -- all the mortgages that were made over the last couple of years are low interest rates. And so that's a great position to be not necessarily on the origination side. And therefore, obviously, that is going well. We have had some wins in that space. More and more people are using more of our solutions, with existing customers using more and more of our solutions there, as you know as well.  That's a highly regulated transaction and our opportunity to continue to help around compliance as well as some of the things that we do to deliver great value on behalf of our clients there and that overall digital experience has been very positive for us.  So we see more opportunities there as we look out to '23. It's a very large, large underserved marketplace, just like we've seen historically in some of the other verticals. And we're excited about some opportunities we look to execute on in 2023.
Tim Murphy: And Tim, also on that, like John said, we have existing customers that have an existing book to service, but also those customers are adding new products and/or some of them are bringing servicing in-house. In all those different circumstances, we benefit from additional payment volume. And so that's why we wanted to just reiterate the fact that a lot of this growth is coming from existing customers and winning -- we do win new business, but a lot of it is coming from existing, so we're not as sensitive to the macro.
Timothy Chiodo: I completely agree. For John and Tim, I think we and, I think, investors fully understand. You're not exposed to the new originations. And we think about the duration of loan repayment, clearly, that's one of the longer ones. And clearly, it's more of a penetration into the existing base of mortgage repayments, I guess, is a good way to summarize it. And it seems like you are penetrating that quite well.
Tim Murphy: Exactly.
Operator: Our next question comes from the line of Bob Napoli with William Blair.
Robert Napoli: Good to see the strong growth in B2B payments. Just wondering if you could maybe dig in, get a little more color on the -- which areas -- where you're investing, where you're seeing strength? And what is the margins? What -- is it -- is that dilutive B2B payments with the higher growth in investing? Is that dilutive to your EBITDA margins?
Tim Murphy: So yes, we're investing mostly on the AP side, Bob, where there's a really big opportunity, and we've announced some new partnerships there. We're seeing a lot of success in the health care space in B2B. AP, we're seeing a lot of success in auto dealerships, hospitals. Those are some recent areas of focus within B2B, AP. The margins there aren't quite the level of the overall corporate average. So it would be slightly dilutive, but not materially different.  We've really bought businesses that are profitable which is unique within B2B, particularly on the AP side. And so those businesses had profitability and cash flow when we acquired them and have even become more profitable under our ownership. So it's, I'd say, slightly dilutive to adjusted EBITDA margins but not materially and certainly accretive to growth.
Robert Napoli: And then where -- we get a lot of questions on the acquisitions that you've made, and it's hard to tell how they're performing. Or can you give any color on how the integrations have gone, how these -- are there certain acquisitions that stand out as outperforming and certain others that are underperforming? And how is the integration? And there's just a lot of questions around that, that doesn't seem to -- that we don't seem to have enough color on maybe.
John Morris: Yes, I'll start. So as we spoke about earlier, we have finalized the BillingTree integration this past summer, and that really went really well. You get to see some of those margins from our overall processing integration coming through in the third quarter here. The people part has been integrated for -- is almost always integrated from day 1 as we need to vertically align around our specific verticals underneath consumer and under B2B. That's something we've been doing this year, and that's going really well. And we'll continue to iterate on that. That will drive our innovation and competitive by subvertical.  As the -- all the acquisitions are -- several of those have been very successful for us. If I go back to our very first acquisition, we bought our core processing platform, TriSource, which is we call RCS today. And then obviously, we pulled together several B2B, very attractive assets. I think we have some of the best. TotalPay is one of some of the best technology in this space. And as we've moved and aggregated that volume together, that's come together really well, and our teams have come together well.  So I think we've been quite successful at bringing those pieces together overall from an acquisition perspective. So that excites us as we look out into '23.
Tim Murphy: And I think in terms of specific deals, I mean, CPS has been great for us that got us bigger into the hospital space. cPayPlus is really our core AP platform now and brought us the TotalPay solution and also our approach to supplier enablement came through cPayPlus. So they all have their own unique attributes and reasons why we did the deals, but we've now brought them together, I think, in a pretty cohesive way, and they're gelling nicely.  And we've also made some management changes where we have more dedicated sales and operations folks supporting the integration there as well. So I think it's been very successful.
John Morris: And we're talking about mortgage because of our Ventanex acquisition. So there's probably 15 years of knowledge buried in our technology there that is -- gives us a very successful product and some key, key integrations. So key integrations in those. And then as we mentioned already, we were looking out into '23, Payix becomes part of our organic growth. So everything next year becomes part of organic growth as an overall consolidated company. And we kind of talk about that in buckets of consumer, business payments and in software and services.
Robert Napoli: I'd just sneak one last one in. Just your -- and I jumped on, I apologize if you addressed this. And if you could talk about trends you've seen in October and just your confidence in your growth and profitability for 2023 in this more uncertain environment.
Tim Murphy: Yes. I mean, John laid out some pretty specific points around why we feel good about growth in 2023. I mean you've got the consumer verticals, specifically, lending that are resilient. We've got the ARM and revenue cycle management businesses, which I think will see a pickup going into next year given some of the increased credit balances for consumers.  Payix becomes part of organic, that's growing faster than the corporate average. And then our exposure in B2B is more to medium to enterprise which I think is more resilient than SMBs even in a downturn. So we've seen positive trends into early Q4. Organic growth in Q3 was 15%. It's a bit higher than that in early Q4. We expect it to be higher for Q4 than Q3, and we really see a lot of prospects for growth going into next year for all these reasons.
John Morris: And then we -- I mentioned earlier on this call that our pipelines, our sales pipelines from both our consumer and our business payments have been very healthy and producing great wins. Many of those should be coming online for us in '23, specifically a very large customer win in the quarter, should be very positive for us in '23 as it comes online.
Robert Napoli: Great. Good to see the solid results. I appreciate the answers to the questions.
Operator: Our next question comes from the line of Ramsey El-Assal with Barclays.
Ramsey El-Assal: Apologies if you commented on this already. I was late joining, after your prepared remarks. The take rate came in above our expectations. And I think I did hear you talk about maybe deal integration having a positive impact there. But maybe you could help us think through the drivers of the improvement in take rate and sort of how we should think about that moving forward.
Tim Murphy: Yes, sure. So the -- there was a couple of really large customers that are higher margin, higher take rate customers that performed very well in the quarter and continued to perform well in the Q4. So that supported the higher take rate. We've got some of our nonvolume-based products like Instant Funding has been doing really well.  Ventanex has a communication solutions business that is performing very nicely within mortgage that increases the take rate. So there's a number of drivers there. The comment on the BillingTree conversion was more supportive of the expanded gross profit margins that sits between net revenue and gross profit and reduces processing costs. So -- in addition to the increased take rate, there's a reduction in processing costs, all of that flows through to expanded gross profit margin.  So a number of key drivers that we continue to see into Q4. We feel good about 110 or so -- 110 basis points or so, consistent take rates, and we were a little bit higher than that this quarter.
Ramsey El-Assal: Got it. All right. And a quick follow-up from me. Can you give us an update on cross-selling, how that is progressing and also the degree to which it's contributing to your solid results this quarter?
John Morris: Yes. As I mentioned, we are seeing more cross-sell opportunities out on our consumer side, just for our AP automation, we're starting to see those. We're still early on in a couple of those larger ones. But we do -- we are seeing more and more of those happen. And then obviously, the cross-sell on some of our key integrations where we're already there on the B2B side, we're on the AR side. So our cross-sell with the AP side of that, we're starting to see some traction on that side of it. But I wouldn't say that's significantly changing all the numbers, but we're starting to see activity to pick up.
Tim Murphy: Yes, I think that will flow through more to next year. We have won some nice cross-sells that are ramping now and will contribute more to 2023. But the effort is certainly widespread throughout our sales force, both within B2B where we cross-sell AP to existing AR customers. And now like John said, starting to have our consumer sales team sell to our consumer clients as well and now experiencing wins there.
Operator: There are no further queues -- questions in the call. I'd like to hand the call back to John Morris for closing remarks. .
John Morris: Yes, thank you, operator. Thank you, everyone, for your time today. We feel good and really good about our Q3 results. And we also -- we're going to continue to work hard and execute on our game plan as we continue to drive growth for the fourth quarter here as well as into '23. Thanks so much for your time.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.